Operator: Thank you for standing by, and welcome to the micromobility.com Inc. First Quarter 2023 Earnings Conference Call. [Operator Instructions] As a reminder, today's program will be recorded. If anyone objects, please disconnect now. I'd like to introduce your host for today's call, Gary Dvorchak, Managing Director with The Blueshirt Group. Mr. Dvorchak, please go ahead. 
Gary Thomas Dvorchak: Thank you, operator, and hello, everyone. Welcome to micromobility.com's First Quarter 2023 Results Conference Call. Earlier today we issued our financial results press release. It's available via newswires and on our website at ir.micromobility.com. A replay of this conference call will be available later today on the Investor Relations page of our website. 
 With us today, our Founder and Chief Executive Officer, Salvatore Palella and Chief Financial Officer, Giulio Profumo. The team will review our first quarter results for 2023. Investors with questions can send them to us via the link to Say Technologies, which is provided in our earnings press release. We'll answer questions via the Say Technologies [ upvote questions ]. 
 Please note that our press release and this conference call contain forward-looking statements that are subject to risks and uncertainties. These forward-looking statements are only predictions and may differ materially from actual future events or results due to a variety of factors. micromobility.com can give no assurance that these statements will prove to be correct, we have no obligation to update these statements. 
 I will now turn the call over to Salvatore to begin. Salvatore? 
Salvatore Palella: Thank you, Gary, and good day, everyone. Thank you for joining us to review our business performance and financial results for Q1 2023. To begin, I will provide the last development making our progress, following that our CFO, Giulio Profumo, will offer a financial perspective. 
 Before I provide an overview of our progress and achievement in the business, I would like to express our heartfelt gratitude on behalf of the entire company for the unveiling support of our shareholders during these challenging market conditions. We understand that this [ sequence deposit ] by the current market situation and the need to comply with listing requirements. As a result, we are working closely with market integrity monitors such as Share Intel and BUYINS.NET. We also executed a reverse stock split to regain compliance. Our unwavering determination to maintain our listing demonstrating our strong commitment to transparency and accountability. Importantly, we firmly believe that the driving profitability and fostering growth is vital to incur in the overall value of our company. This is why our primary focus is on optimizing operation and expanding within the micromobility industry. 
 We are consulting our presence in cities where we already operate with the ultimate goal of transforming this operation into profitability venture. Despite the obstacle we face, we remain confident in our ability to navigate the business landscape, achieve consistent growth and continuously delivering value to our shareholders. With that being said, in the first quarter, we remain steadfast in our commitment to evolutioning [ integral brand ] transformation while promoting sustainability. Through platform decision making, we prioritize profitability and sustainable expansion, leading to a transformative rebranding efforts that position us as a global market mobility consolidator. This exciting transformation allow us to enter the retail, rental and share micromobility market, offering a wide range of vehicle accessories and service. We also launched our new retail focus adventure that will future physical store across the United States in an online platform for convenience shopping. 
 Rebranding our mobility segment is producing impressive results. As a rebranded company, our main goal is to offer outstanding shared mobility service by smoothly integrated brand, mainly our previous brand Helbiz and acquired brand Wheels under our new global brand umbrella. Additionally, we expand our presence in the mobility market by successfully launching e-bike fleet in both Santa Monica and the Miami Dade area. 
 Turning to the Kitchen business. We achieved significant progress in our [ breweries ] region. Helbiz Kitchen introduced MrBeast Burger for the first time in Italy, an important expansion milestone. In the United States, we have expanded our presence through a strategic partnership with Kitchen United, leading to the opening of our first 2 locations in Los Angeles, in Santa Monica and the Westwood neighborhood. These developments highlight our commitment in delivering diverse culinary experience and expand our market reach. 
 To cover our goal of beginning profitable, we are actively reducing cost in our mobility segment by using technology and [ smart wave ] on working, we have expanded our fleet to more seats in the United States without spending extra money. Fusion work, we have embraced technology to enhance our relationship with both shareholders and customers. We have revisited our customer service by incorporating AI tools, having personalized and efficient interaction that result in higher customer satisfaction. This initiative highlights our commitment to build strong relationship and providing expansional experience. 
 Now I will turn the call over to Giulio Profumo, our CFO. Giulio will go on our financial performance. Giulio? 
Giulio Profumo: Thank you, Salvatore. Our detailed financials can be found in our earnings release and 10-Q filing. So we will concentrate on discussing the drivers of financial performance. Keep in mind that all figures given are for the first quarter of 2023, and all comparisons are with the first quarter of 2022, unless I note otherwise. 
 Revenue was $3.9 million, up 18%, primarily driven by mobility revenue of $1.6 million and media revenue of $2.1 million. In pursuing our goal of reaching cash flow positive, we exited unprofitable markets, resulting in fewer trips and lower quarterly active platform users. Yet, we held mobility revenue flat, demonstrating that we are selectively trimming the property areas. Mobility was 40% of revenue with 76% from pay per ride and 21% from growing subscription offering. The cost of revenue of mobility remained stable, although we experienced a 35% increase in amortization, depreciation and write-off. This increase can primarily be attributed to the assets acquired from the Wheels business combination. On the other hand, we successfully reduced media cost by 11%, mainly by decreasing the acquisition of media content during the period. This reduction aligned with our strategy to decrease the operating cash used by the Media business. 
 Turning our attention to Helbiz Kitchen, we are pleased to report that first quarter revenue nearly tripled. Our strategic partnership with Kitchen United has played a significant role in driving our growth in the U.S. 
 Now let's shift our focus to operating expenses, which decreased by 9%. Excluding the cost of revenue, our total expense in R&D, sales and marketing, and general and administrative decreased by 17%. This reduction was primarily driven by a 52% decrease in sales and marketing expenses and a 7% decrease in G&A costs. These reductions were accomplished by strategically reducing staffing levels and overhead expenses, aligning with our overall strategic goals. However, we have maintained our in-house global IT engineering team, leading to a 13% increase in R&D expenses during Q1. Additionally, noncash equity-based compensation expenses amount approximately $800,000 in the first quarter, accounting for approximately 4% of total operating expenses. Ultimately, we maintained an optimistic perspective that our efforts to decrease operating expenses will lead to cost reduction throughout our entire business. This will bring us closer to our ultimate goal of achieving bottom line profitability, which currently stands as our highest priority. 
 In terms of our balance sheet and liquidity, as of March 31, 2023, we had $647,000 in cash and equivalents. Financial liabilities experienced a decline in the first quarter, reflecting a noteworthy reduction in our financial outstanding obligations. Net cash used in operating activities decreased by 22% year-over-year, demonstrating improved operational efficiency. During Q1, we entered into equity lines of credit, which provided us with the option but not the obligation to do so at our [ discretion ] during the terms of the agreement. Throughout the remainder of 2023, we plan to fund our operation and expansion to additional debt and equity financing, as necessary. 
 Now let me address our stock and compliance with the listing requirements. On March 30, we completed a reverse stock split, successfully regaining compliance with the share price requirements for listed securities. However, we still face challenges due to the volatility of our market share price. To ensure compliance, we are actively collaborating with market integrity, surveillances and service providers. We remain fully committed to maintaining our status as a listed company. 
 In summary, we are grateful for the consistent support of our shareholders during the challenging market environment. We are determined to overcome obstacles and deliver value to our stakeholders. By focusing on strategic initiatives, optimizing operations and embracing innovative technologies, we are confident in our ability to achieve sustained growth in the future. 
 Let me turn the call back to Salvatore to wrap up. Salvatore? 
Salvatore Palella: Thank you, Giulio. We deeply appreciate the support from our shareholders, and we are committed to the expansion of our business for strategic initiatives, efficiency and innovation. Trust brings to drive our compliance efforts helping us navigate the market and create value for shareholders. We have achieved consistent growth in revenue and managed to decree operational expenses by improving efficiency. We will keep pursuing this strategy to improve our bottom line and create value for shareholders in the long term. 
 Now I will turn the call over to Gary for some final instructions regarding our Q&A. Gary, go ahead. 
Gary Thomas Dvorchak: Thanks, Salvatore. As a reminder, micromobility.com partnered with Say Technologies to allow verified retail and institutional shareholders to submit and upvote questions, selection of which will be answered by our management team after the earnings call. To submit questions, please refer to the link we shared in that press release published earlier today. This concludes today's conference call. Thank you for your participation. You may now disconnect.